Operator: Good day, and thank you for standing by. Welcome to the Altisource Fourth Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Michelle Esterman, Chief Financial Officer. Please go ahead.
Michelle Esterman: Thank you, operator. We first want to remind you that the earnings release and quarterly slides are available on our website at www.altisource.com. These provide additional information investors may find useful. Our remarks today include forward-looking statements, which involve a number of risks and uncertainties that could cause actual results to differ. Please review the forward-looking statements sections in the Company's earnings release and quarterly slides, as well as the risk factors contained in our 2023 Form 10-K and our 2024 Form 10-K once filed. These describe some factors that may lead to different results. We undertake no obligation to update statements, financial scenarios and projections previously provided or provided herein as a result of a change in circumstances, new information or future events. During this call, we will present both GAAP and non-GAAP financial measures. In our earnings release and quarterly slides, you will find additional disclosures regarding the non-GAAP measures. A reconciliation of GAAP to non-GAAP measures is included in the appendix to the quarterly slides. Joining me for today's call is Bill Shepro, our Chairman and Chief Executive Officer. I'll now turn the call over to Bill.
William Shepro: Thanks, Michelle, and good morning. I'll begin on Slide 4. We are pleased with our full-year and fourth quarter 2024 performance as we continue to improve our financial results and win new business. In the face of serious market headwinds for both business segments, we had strong performance across the board. For the year, we grew total company service revenue by 10% and adjusted EBITDA by $18.3 million. In February 2025, we executed an exchange and maturity extension transaction with our lenders, significantly strengthening our balance sheet and reducing interest expense. Turning to our financial performance in Slide 5. For 2024, we generated $150 million of service revenue, a 10% increase over 2023. The service revenue increase was driven by growth in both business segments. 2024 total company adjusted EBITDA of $17.4 million, represents an $18.3 million improvement over 2023. The improvement was largely from the business segments, service revenue growth and higher adjusted EBITDA margins and from the corporate segments lower adjusted EBITDA loss. The business segments generated $44.6 million of adjusted EBITDA at 29.7% adjusted EBITDA margins, representing a $10.4 million improvement in adjusted EBITDA and a 462 basis points improvement in adjusted EBITDA margins compared to 2023. The corporate segments adjusted EBITDA loss declined by $7.9 million or 22% to $27.2 million, primarily from efficiency initiatives. We also finished the year strong. As you can see on Slide 6, fourth quarter service revenue of $38.4 million, marked the highest level since the third quarter of 2021 and adjusted EBITDA of $4.7 million was the strongest quarter since the third quarter of 2020. Compared to the same period in 2023, fourth quarter 2024 service revenue grew by 19% and adjusted EBITDA grew by $4.5 million. In February 2025, we completed an exchange and maturity extension transaction with our lenders, significantly strengthening our balance sheet and reducing interest expense. We also closed a $12.5 million super senior credit facility to fund the transaction costs and for general corporate purposes. Slide 7 through 9 provide additional information on these transactions. As a result of these transactions, we reduced our debt by over $60 million from $233 million to $172.5 million. Our new debt is comprised of $110 million term loan, a $50 million non-interest bearing exit fee, which is reduced on a pro-rata basis with the repayment of the term loan and a $12.5 million super senior credit facility. The interest rate on the $110 million term loan and the $12.5 million super senior credit facility is SOFR plus 650 basis points or 10.8% today. At today's SOFR rate, this represents $13.4 million in annual cash interest costs, which is an approximately $18 million per year reduction in cash and PIK interest compared to our prior facility. $158.6 million of the new term loan matures on April 30, 2030, and $1.4 million matures on January 15, 2029. The super senior credit facility matures on February 19th, 2029. In connection with the transactions, the lenders exchanged $72.9 million of debt for approximately 58.2 million Altisource common shares, representing 63.5% of the pro forma equity of the company. To provide for the potential for pre-transaction stakeholders to increase their ownership interest in the company as the share price increases, Altisource will be issuing warrants to pre-transaction shareholders, penny warrant holders, and restricted stock unitholders as of the February 14 record date. These warrants enable stakeholders to purchase approximately 114.5 million common shares of Altisource and an exercise price of a $1.20 per share. This equates to 3.25 shares of Altisource common stock for each share of or right to common stock held. 50% of the warrants expire on April 3rd, 2029 and require the exercise price to be paid in cash to the company. The other 50% of the warrants expire on April 30, 2032 and require net settlement through the forfeiture of shares to the company for the exercise price. We believe the transactions put the company on a much stronger financial footing and should be accretive to pre-transaction shareholders in the medium to long-term. The transactions also provide us with additional time to execute our turnaround plan by removing the April 2025 refinancing risk, improving Altisource's balance sheet and leverage ratios, and eliminating a major distraction for Altisource's team, shareholders and customers. Moving to Slide 10 and our countercyclical Servicer and Real Estate segment. For 2024, service revenue of $120 million was 11% higher than 2023 from the launch and growth of our renovation business and sales wins despite a market-wide 6% decline in foreclosure starts and 14% decline in foreclosure sales. 2024 adjusted EBITDA of $42.1 million for the segment was $5 million or 14% higher than 2023. Adjusted EBITDA margins improved to 35.1% from 34.4%. Adjusted EBITDA growth and margin improvement reflects service revenue growth and cost reduction and efficiency initiatives partially offset by revenue mix. Slide 11 provides a summary of our servicer and real estate sales wins and pipeline. For the year, we won new business that we estimate will generate $25.8 million in annual service revenue on a stabilized basis over the next couple of years. We had significant sales wins in our Trustee, Hubzu and Granite businesses that should help contribute to 2025 service revenue growth. We ended the year with a Servicer and Real Estate segment total weighted average sales pipeline of $29.4 million of annual service revenue on a stabilized basis, most of which we anticipate will impact 2026 and beyond. Moving to our Origination segment on Slide 12. 2024 service revenue of $30.4 million was 6% higher than 2023, and adjusted EBITDA improved by $5.4 million to $2.5 million. This primarily reflects revenue growth in the Lenders One business from customer wins from our newer solutions, price increases and market share gains in our Trelix loan fulfillment business, partially offset by revenue declines in our other origination businesses that were impacted to a greater degree by lower purchase origination volumes. Adjusted EBITDA improved from revenue growth and stronger margins for certain business units from efficiency initiatives. For 2024, the Origination segment’s gross profit, gross profit margins, adjusted EBITDA and adjusted EBITDA margins all improved relative to 2023. Slide 13 provides a summary of our Origination segment sales wins and pipeline. During a difficult origination market, our focus on helping our Lenders One members save money and better compete drove substantial interest in our solutions. On an annualized stabilized basis, we won an estimated $12.6 million in new business for the year. Our weighted average sales pipeline at the end of 2024 was $13.2 million with $2.4 million of it in the contracting stage. Turning to our Corporate segment on Slide 14. We continue to bring down our operating costs. 2024 corporate adjusted EBITDA loss of $27.2 million was $7.9 million or 22% better than 2023. The lower adjusted EBITDA loss reflects our cost savings and efficiency initiatives. Moving to Slide 15. The business environment over the last few years has been very difficult for Altisource. The default market was virtually shut down in 2020 and has still not recovered. 2024 foreclosure starts were 35% lower than 2019 levels and foreclosure sales were 53% lower than 2019 levels. Driven by low delinquency rates and home price appreciation, 2024 foreclosure starts were also 6% lower than 2023 and foreclosure sales were 14% lower than 2023. The origination market has also had its challenges. 2024 mortgage origination volume was 35% lower than 2019 levels driven by higher interest rates. And while 2024 origination volume was higher than 2023, this was driven entirely by refinance activity with purchase volume down for the year. Despite this difficult default in origination market, we've won meaningful new business and implemented efficiency initiatives that help drive 10% service revenue growth and an $18.3 million improvement in adjusted EBITDA in 2024 compared to 2023. Since 2021, we have grown adjusted EBITDA by almost $50 million. Turning to Slide 16 and our outlook for 2025. We believe our sales wins, improved margins and corporate cost structure position us for another year of service revenue and adjusted EBITDA growth, and for the first time since 2019, positive operating cash flow. Based upon our current business and market expectations, which assumes roughly flat delinquency rates and 13% growth in origination volume, we are forecasting service revenue of $165 million to $185 million and adjusted EBITDA of $18 million to $23 million. At the midpoint this represents 16% annual service revenue growth and 18% adjusted EBITDA growth over 2024. We anticipate service revenue growth will be driven by the continued ramping of sales wins, converting pipeline opportunities to sales wins, price increases for certain services and growth of newer Lenders One solutions. We anticipate the adjusted EBITDA improvement will be driven by service revenue growth and higher business unit margins for many businesses, primarily from the full-year benefit of 2024 efficiency initiatives and scale partially offset by product mix and a modest increase in corporate operating costs due to certain non-recurring benefits in 2024. From a cash flow perspective, we anticipate generating positive operating cash flow for the year. In closing, we believe we are positioned to diversify our revenue base and ramp business we have won while maintaining cost discipline and significantly reducing corporate interest expense. To support longer term growth, we are focusing on accelerating the growth of certain of our businesses that we believe have tailwinds. When the default market returns to normal, we should also benefit from stronger revenue and adjusted EBITDA growth in our largest and most profitable businesses. I'll now open up the call for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Ramin Kamali from CSAM.
Ramin Kamali: Hi, good morning. Thank you for the presentation and congrats on the results. Can you just comment on kind of some of the nature of some of the wins you’ve had across, I guess, originations and servicing, but also more importantly kind of talk about kind of the nature of the conversations you are having with some of these potential opportunities pro forma or post restructuring or post transaction? Has that changed at all?
William Shepro: Great. Thanks, Ramin. Yes, we had a couple of initiatives last year focused primarily on our construction renovation business, our trustee business and, what was the third. Well, in the construction – oh, I’m sorry, in our Lenders One origination business. In the construction business and in the Lenders One business, we launched two new products, one just under two years ago and one a year ago. And I’m proud to say that both of those products, the credit product and the renovation business, each did north of $1 million a month. I think it was in February of this quarter of this year. And so we’ve launched basically from scratch to $1 million a month in each of those businesses through those initiatives last year. And we are quite proud of those results. As we look to 2025, there are several areas we are focused on. One is, I think we could take those two businesses, the renovation business and the origination business. We’ve got the opportunity to more than double, I think, the monthly revenue of those businesses by the end of this year. We’ve got a very exciting pipeline in both those businesses and certainly completing the transaction with our lenders has helped in the conversation we are having with our customers. We are also looking at expanding our Hubzu business. Historically, Hubzu has primarily been focused on managing foreclosure auctions and REO auctions. We’ve recently done a soft launch of a commercial auction platform inside of Hubzu, and we are also looking at selling non-distressed residential auctions on that platform. So more to come as we develop those two products. We are continuing to grow our granite renovation – sorry, construction risk management business. We had some success in growing the revenue and earnings in that business last year, and we see some tailwinds with some customer wins this year, again, I think helped by the transaction. And we are also continuing to build out that renovation business I just discussed by adding additional customers. And then finally on Lenders One, we are going to continue to grow the new product we launched, the credit product, and we are looking to essentially launch and relaunch and grow our homeowners insurance product this year. So we’ve got four or five initiatives that we think will contribute to our growth this year and help us diversify our customer base. We are pretty excited about those.
Ramin Kamali: I guess maybe one more question. I guess we are almost done with Q1. Can you give us some color on how things are trending thus far in 2025?
William Shepro: Yes, sure. We’ve started the year very strong from our perspective. We had a very good – we’ve seen our unaudited, of course, January revenue and EBITDA results, which were quite strong. Revenue was in line with our plan. EBITDA was better than our plan. February revenue also was right on target. We haven’t seen our February EBITDA yet, but I believe it’s going to perform well also. So I think we are off to a really good start at or ahead of plan at plan on revenue and slightly ahead from an adjusted EBITDA perspective.
Ramin Kamali: Excellent. Thanks.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Robert Heimowitz from Concise Capital.
Robert Heimowitz: Hey guys, congratulations on the transaction. Just want to start by asking about – foreclosure starts seem to be picking up. And so I’m just curious when you think this starts to get reflected in results, what’s the lag time here?
William Shepro: Yes, it’s kind of interesting and we’ve not done a great job, I would say, forecasting what’s going to happen with foreclosure starts. And so in our plan for this year, we are assuming that the market, the delinquency rates remain roughly flat. That said, I do think there is – the market is wobbling a little bit. We ended the year from a delinquency rate perspective, both 30 plus and I think 90 plus ahead of where we were in the middle of the year, but just slightly ahead of where we were at the end of 2023. And so it hasn’t changed that much. And then as you saw in our prepared remarks, foreclosure starts and sales were also down in 2024 compared to 2023. So from a modeling and forecasting perspective at Altisource, we are being very conservative and assuming it remains roughly the same. I can tell you what we are hearing anecdotally from our clients is that they are getting ready and expecting an increase in foreclosure starts. The VA moratoriums on foreclosures ended in at the end of December. So we got a bit of a sort of one-time set of referrals in January and February related to VA loans and that will then start to normalize on a go forward basis. And our clients are telling us that they are expecting delinquency rates will start to pick up. We are monitoring unemployment. That’s usually a pretty good leading indicator. If you look at other credit assets like auto loans, credit card delinquencies, things like that, the delinquency rates are continuing to rise in those areas. At some point, it’s likely it will translate into mortgage delinquencies as well, but we haven’t seen it yet.
Robert Heimowitz: Thanks. That’s helpful. And you mentioned the VA moratorium. Are there other agencies that are, for lack of a better term, implementing unfriendly creditor type of policies that you see those types of policies coming to an end like the VA moratorium that might impact the business as well?
William Shepro: I mean, the big one is FHA. When interest rates were going down, they had a streamlined modification program that allowed delinquent borrowers to essentially refi into a new loan with a lower interest rate, if they could qualify for a mortgage with that lower interest rate. And then when rates were going up, no one could qualify for a streamlined refi anymore. And so the government initiated a new program where you could waive, don’t hold me to the exact number, but I think it’s 25% or you can defer 25% of the principal to the end of the loan. And if you could qualify for those payments, you could essentially mod that loan. What we are seeing though is that even after going through that process, those borrowers are continuing to default on those loans. And in the fourth quarter, we actually saw a pretty good size uptick in our FHA-related revenue and a slight decline in our non-FHA-related revenue. And the decline in the non-FHA revenue was a combination of two things. The revenue per delinquent loan went down a little bit due to typical seasonality. That was partially offset, however, because the number of delinquent loans we are managing went up a little bit on the non-GSE. And so I think we are starting to see that FHA market open up a bit and there is only so many times these borrowers can attempt to modify their loan and then go delinquent again before they are going to ultimately go through the whole process. And I suspect that’s going to start to happen more this year under the new administration compared to the last.
Robert Heimowitz: Got it. Thanks. And for Q1, it’s not in your EBITDA guide, but you guys should see a sizable gain that should add some solid equity or reduce the negative equity position on the balance sheet, correct?
William Shepro: So I’ll let Michelle get into the sort of how it translates into the income statement and balance sheet. But in terms of from an EBITDA perspective, I think we did $4.7 million of EBITDA in the fourth quarter. I think in the fourth quarter, look, we still haven’t closed out our books for February and we still have March, but I think we should be in that range slower or better in the first quarter than the fourth quarter. So we should, from a revenue perspective, I think see a very strong revenue quarter. We’ll probably see a similar probably, if not better results from an EBITDA perspective, in which case both will be better quarter than each quarter last year. So we are off to a very strong start. We are happy with our performance out of the gate this year.
Michelle Esterman: And from a book perspective, remember, we had the prior debt through February 19. So you are going to see higher interest expense in the first quarter of the year than you will for the remaining quarters of 2025.
Robert Heimowitz: Okay. But you guys had a lot of, let’s say, PIK interest in Q4 that you are never going to have to actually pay off. So you should realize some sort of gain there, right?
William Shepro: Yes. No, I think you are going to see interest expense. We are still finalizing all the accounting related to the transaction, but putting that aside interest expense is going to be coming down as we mentioned on the call from something like $32 million a year to $13.4 million a year on an annualized basis.
Robert Heimowitz: Okay. Thanks, guys.
Operator: Thank you. [Operator Instructions] At this time, I would now like to turn the conference back over to Bill Shepro for closing remarks.
William Shepro: Thanks, operator. We are pleased with our performance last year and believe we are off to a good start in 2025. We appreciate all of your support. We will talk to you soon. Thank you.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.